Operator: Good morning, ladies and gentlemen, and welcome to the CGI First Quarter Fiscal Year 2020 Conference Call. I would now like to turn the meeting over to Mr. Lorne Gorber, Executive Vice President, Investor and Public Relations. Please go ahead, Mr. Gorber.
Lorne Gorber: Thank you, Mo, and good morning. With me to discuss CGI's first quarter fiscal 2020 results are George Schindler, our President and CEO; and François Boulanger, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 a.m. Eastern Time on Wednesday, January 29, 2020. Supplemental slides as well as the press release we issued earlier this morning are available for download, along with our Q1 MD&A, financial statements and accompanying notes, all are which are filed with both SEDAR and EDGAR and are available for download on our website along with supplemental slides. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied, and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable laws. The complete safe harbor statement is available in both our MD&A and press release as well as on cgi.com. We encourage our investors to read it in its entirety and to refer to the Risks and Uncertainties section of our MD&A for a description of the risks that could affect the Company. We are reporting our financial results in accordance with International Financial Reporting Standards or IFRS. As before, we will also discuss non-GAAP performance measures, which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian, unless otherwise noted. We're also hosting our AGM this morning. So, we hope you will join us live or via the broadcast at 11 a.m. I'll turn it over to François now to review our Q1 financials and then George will comment on our operational highlights and strategic outlook. François?
François Boulanger: Thank you, Lorne, and good morning everyone. I'm pleased to share our results for Q1 fiscal 2020. Revenue was $3.05 billion, an increase of $19.8 million or 2.1%, compared with last year. On a constant currency basis, revenue grew 4.8% of which approximately 1.2% was organic. Year-over-year, IP related revenue grew by $38 million and was 21% of total revenue. Bookings were $2.7 billion for book-to-bill of 90% impacted by the general election in the UK, and seasonality in U.S. Federal. Bookings across continental Europe were up sequentially driven by managed services demand including IP. Also, our pipeline across North America continues to grow, notably due to managed services opportunity. On a trailing 12 months basis, booking remain above 100% of revenue totaling $12.4 billion. The backlog at the end of December stood at $22.3 billion or 1.8 times annual revenue, despite the negative currency impact of approximately $900 million year-over-year. Beginning in Q1, we adopted IFRS 16. This accounting standard relates to the recognition of lease agreements onto the balance sheet. This change lowers our cost of sales and increases our net finance costs, resulting in a non-material impact to net earnings. I will comment on these variations including the impact on the cash flow statement and our capital structure. Further details are included in the MD&A. Adjusted EBIT increased to $474.1 million, up $35 million or 8% from last year. EBIT margin was up 70 basis points to 15.5%, driven by revenue growth across several geographies, efficiency gains in our global delivery centers, the initial benefits of optimizing our infrastructure operations, and a favorable $9.7 million impact from IFRS 16. Our effective tax rate for the quarter was 26.7%, compared to 25.9% last year, when excluding the impact on non-deductible restructuring expenses. Our effective tax rate was 25.1% within the expected range of 24.5% to 26.5%. As announced last November, we are investing up to $40 million to optimize and restructure our Swedish infrastructure operations to exit Brazil and to refocus Portugal as a near-shore delivery center. During the quarter, we incurred $28.2 million of related expenses net of tax. We also expand $16.5 million in Q1 related to the acquisitions and integrations of Acando and SCISYS. When including these specific items, net earnings were $290 million in Q1 for a margin of 9.5%. Earnings per share on a GAAP basis were $1.06 per diluted share, compared with $1.11 last year. However, when excluding these specific items, net earnings in Q1 improved year-over-year to $335 million, or 11% of revenue, up 40 basis points. Earnings per share on the same basis were $1.23, compared with $1.12 last year. This represents an improvement of 9.8% despite the currency headwinds of over $0.02. We generated $465 million in cash during the quarter or 15.2% of revenue. This represents an improvement of $74 million compared with $392 million generated in Q1 last year. The year-over-year increase in cash includes $39 million related to the adoption of IFRS-16. Over the last 12 months, we have generated $1.7 billion, or $6.20 in cash per share and significant increase compared with $1.5 billion or $5.15 from a year ago. We ended the quarter with a DSO of 49 days down from 50 days last quarter and 54 days last year, largely due to the evolving business mix. During the quarter, we allocated cash across several strategic priorities, $67 million back into our business, a $156 million in acquisition mainly SCISYS which goes on December 18, $17 million repurchasing CGI shares, and we repaid a $182 million of long term debt. Buying back CGI stock has been an accretive and flexible ways to return capital to shareholders. Under the current program, we have invested $675 million, repurchasing 7 million shares at a weighted average price of $97.13. This represents a return of over 16% based on yesterday's closing surprise. As such, our Board of Directors approved the extension of the program until February 2021 allowing us to purchase up to 20.1 million shares over the next 12 months. At the end of December, net debt stood at $2.8 billion representing a net debt to capitalization ratio of 27.7%, up from 19.1% last year, largely due to IFRS-16. Excluding this in impact, net debt to capitalization ratio was 20.9%, slightly higher than last year due to increased investments in metro market mergers. With our revolving credit facility and cash on hand, we have $1.6 billion and readily available liquidity and access to more as needed to continue pursuing our Build and Buy strategy. Now, I'll turn the call over to George.
George Schindler: Thank you, François, and good morning everyone. I'm pleased with our team's performance in the first quarter as we continue to successfully execute on our build and buy profitable growth strategy. This quarter's results continued to reflect the shift in client buying behavior towards outcomes-based engagement, as evidence by 70 basis point increase in managed services revenue as compared to last year and our larger managed services offering is resonating. In fact, the managed IT and business process services pipeline is 30% year-over-year. However, many of our commercial clients are employing a more deliberate approach to their IT buying decisions as they shift their internal organizational focus to prioritize both agility and operational excellence. This means that our clients are currently acting most rapidly on smaller, more focused outcome based solution. For example, in the quarter, we were awarded a five-year engagement with a new U.S. client and the financial services sector to deliver selective managed application services, security and infrastructure. This is designed to immediately address and improve the clients IT quality and security with larger future scope now under discussion. Technology remains toward our clients business and we continue to be well positioned for these near-term spending trends with both new and existing clients. The investments we have made in our IT and business consulting capabilities and in IP allow us to offer services and solutions to help finds realize incremental progress on the digital initiatives. For example, in the quarter, we were awarded new work with one of Europe's leading manufacturers to provide agile consulting and enterprise architecture, enabling their digital workforce initiatives over 36 month time frame. Another example, as a new engagement built with a large U.S. utility to implement our Pragma workflow solution to digitize their enterprise workforce management over the next two years, generating immediate efficiency. We also see these types of engagements as an opportunity to build even deeper relationships and drive future growth and larger managed services deals including for our managed IP. As planned, this evolving revenue mix, combined with their investments and operational excellence are driving earnings growth. This is most pronounced in our global delivery centers of excellence, which are in high demand by our clients, are yielding increasing margins due to our investments in talent, tooling and methodology. Turning now to the year-over-year regional highlights of the first quarter, I'll start in North America. In U.S. Commercial and State Government segment, bookings were 107% of revenue on the strength of new managed services contracts, which accounted for 50% of bookings in Q1. Bookings were particularly strong in the financial services and utility sectors, both over 130% book-to-bill. Organic revenue growth was 2% driven by scope expansions across some of our largest commercial clients. And we continue to experience and improving state and local government market receptive to our IP offer. EBIT margin remains stable at 15.1%. And our U.S. Federal operations revenue grew by 11.5% as previous quarters managed service bookings and past quarters wins ramped to their full revenue run rate. EBIT margin was 13.3%, slightly lower year-over-year due to lower volumes and transaction based EPS contracts, and bookings were 60% of revenue. With the Federal fiscal year budget appropriations finalized at the end of December, we expect an active procurement cycle in advance of the U.S. elections. In Canada, despite bookings in the quarter 60% of revenue, Canada's backlog remains very strong at four times annual revenue. Our pipeline of opportunities continues to be robust, with a notable increase in the IP pipeline, which is up 40% over last quarter. Revenue declined, in part due to lower infrastructure volumes year-over-year, while EBIT margin was strong at 22.8%, as we are now realizing the positive impact of previously announced actions to optimize our infrastructure operations. Turning now to our European operations, in Scandinavia, revenue grew 25% driven by the addition of Acando. This is net of the plan run-off of lower margin projects, which will total approximately 10% of acquire revenue and is at the high-end of the range previously communicated. EBIT Margin was 7.8%, which we expect to continue improving throughout the year as further benefits from the Acando integration and restructuring of the infrastructure business in Sweden are each fully realized. Bookings were strong in 130% of revenue reflecting the improved ability of the merge operations to address client demand. In Finland, Poland and the Baltics, revenue was stable with the year ago period with continued strength in financial services, particularly in the insurance space. EBIT margin expanded 90 basis points to 14.9%, as a result of an improving business mix. And bookings were 108% of revenue with increase demand for IP, which was 144% book to bill. In Western and Southern Europe, revenue was essentially stable across the region with organic growth in France and overall strength in government, but impacted by the strategic actions taken in Brazil and Portugal announced last quarter. EBIT margin was 14.9%, up 80 basis points despite one less billable day in France, which is also reflective of an improving business mix. Bookings were 104% of revenue with strong demand for managed IT services, which represented over half of the total bookings in the quarter. And lastly, we completed the merger with Mette, a France based IP solutions and consulting firm specialized in the retail sector. I want to take this opportunity to warmly welcome our 300 new members from Mette. Together, we will bring innovation through combined IP and consulting services to retail sector clients around the world. In the UK and Australia, revenue grew 1% with IP services growth in the financial services sector. Our continued market leadership in space, defense and intelligence was further solidified at the end of the quarter with the close of the SCISYS merger. EBIT margin was 14.7% and book to bill was 69% in revenue impacted by a slowdown in both commercial and government awards decisions largely due to uncertainties created by the UK general election. With the Brexit decision now made, we expect a very active period of government procurement to address the backlog of mission priorities. Likewise, we expect to see more normalized purchasing activity in the commercial sector as going forward. In central and Eastern Europe, revenue growth was 9% of which approximately 3% was organic and EBIT margin increased 10.5%, an improvement of 190 basis points. Bookings were 103% of revenue on the strength of scope expansions from large transportation and retail and consumer services clients in both Germany and the Netherland. And in Asia-Pacific, revenue growth was 10%, EBIT margin was strong again at 28%, driven in part by increased utilization and operational excellence. Our Asia-Pacific delivery centers are leading the way and realizing the return on CGI's innovation investments made in talent, tooling and methodology. In summary, we're off to strong start and continued to position our talent and services in the current and future client demand. We continue to see clear interests for managed services and intellectual property solutions in the pipeline. Given the longer decision cycles for these larger long-term opportunities, we are also well positioned to meet client demand for shorter-term outcomes-based engagement. These engagements will drive growth albeit at a different pace in the near-term. And the benefits from recent mergers as well as our restructuring will deliver earnings and margin improvement moving forward. We will also continue accelerating the pace of metro market-based mergers, with three already closed in the fiscal year and a healthy number of prospects in later stages of the M&A funnel. And of course, we will continue to consider all opportunities to be an active consolidator in the industry through transformational markets. We remain focused on executing our strategic aspiration of doubling over the next 5 to 7 years through continued Build and Buy. Thank you for your interest and support. Let's go to the questions now, Lorne.
Lorne Gorber: Just a reminder that there will be a replay of the call available either via our website or by dialing 1-800-408-3053 and using the pass code 6149639 until March 2nd. There also will be a podcast of the call available for download within a few hours. Follow-up questions as usual can be directed to me at 514-841-3355. Mo, if we could poll up for questions, please?
Operator: Certainly, thank you. We will now take questions from the telephone lines. [Operator Instructions] Our first question is from Steven Lee from Raymond James.
Steven Lee: George, a couple of questions on Canada. Your margin is pushing 23%. Was very large IP in that number? Or do you view that as more sustainable going forward?
George Schindler: Yes -- no, actually, it didn't have as much IP in that number, really some of that benefit was from some of those initiatives I had mentioned in earlier quarters around our infrastructure, rightsizing that, and obviously that runs down at a lower margin, which increases our margin elsewhere. The sum of that uptick really was from those global delivery centers of excellence. We have a number of them here in Canada. And so that was -- those were in demand, and utilization of those go out. And obviously, those are profitable, both beneficial for our clients, but also profitable for CGI. That IP uptick is notable in Canada, and it's notable also in the fact is with those financial services, companies. So all-in-all, Canada, again, that margin is strong.
Steven Lee: And repeatable?
George Schindler: I believe it's, is that the absolute run rate, probably not. But it's, I believe we will continue to have strong margins above that 20%.
Steven Lee: And George, the IP pipeline I think you've said, was up 40%, which areas of these?
George Schindler: Well, in Canada, it specifically is in financial services. But IP is up across the Company in a number of areas, including utilities, including in government, and also some of our newer IPs, both in utilities with open grid, which we announced, but also emerging in the space industry. So IP is up across the board, which we predicted and plan for given the market that we're moving into.
Steven Lee: One more question for me. The organic growth was slower this quarter, which you expected to snap back or should we expect a couple quarters of 1%, 2% growth?
George Schindler: Yes, I think that in the near term, inorganic growth will outpace organic growth. So that pace of inorganic growth is going stronger. But in the near term, yes, there's going to be some softness in the organic growth. But we have some tailwinds on our side here.
Operator: Thank you. The following question is from Thanos Moschopoulos with BMO Capital Markets. Please go ahead.
Thanos Moschopoulos: George, could you maybe summarize the changes you're seeing now in the pipeline and demand environment versus three months ago? It sounds like you're saying customers are being maybe a bit more thoughtful in terms of the size of contract awards, just to make sure I got that correct. And has there been any change in terms of the typical duration of contracts? Or is that inconsistent?
George Schindler: No. Yes, it's a very good question. I tried to highlight that in the opening remarks. Yes, the larger deals are still out there, but they're being broken in to smaller deals first. And so, it's almost a phased approach. And so, we see more of a selective scope. And more of 3 to 5 year deals versus the 7 to 10 year deals a full scope. Just to highlight that, though, and I highlighted one of my remarks. That example that we gave that's a five year deal, but it's $65 million, so they're still upsized but they're not of the couple hundred million and that those 7 to 10 year deals with yield at a fuller scope.
Thanos Moschopoulos: Okay. And a lot of your commentary was focused on the managed services pipeline. If we think about the SI&C pipeline, are we just still seeing a fair bit of interest in terms of digital initiatives? Or is that slowing down across number of geographies in favor of managed services?
George Schindler: Yes, the digital initiatives are still out there. What's very interesting though is, we see the digital initiatives. Some of those are coming under the managed services opportunities. And it really is kind of both ends of the spectrum, investing as we've been talking about investing a little bit more right now, and the operational efficiencies, so that they free up some of the funding for the digital initiatives, but certainly slowing the pace of the spending on the digital initiatives. But as I mentioned a number of times, we're only -- we see our clients are only about 10%, what they say are actually completed with the digital initiatives and getting the returns. And so, that's causing them to take a more deliberate approach, but it's not changing overall their go forward landscape of IT as core to my growth in the future and digital is for enabling that.
Thanos Moschopoulos: And then finally in Western and Southern in Europe, you mentioned France had organic growth, but it was obviously the impact from the restructuring in Brazil and Portugal. Would you be able to quantify the revenue impact in the quarter from restructuring?
George Schindler: Do you have that number, we had one less day and we have that…
François Boulanger: Yes, you're talking on the revenue side.
Thanos Moschopoulos: On the revenue side for Western and Southern Europe?
François Boulanger: Yes, it's $3 million to $4 million.
Operator: Thank you. Our following question is from Maher Yaghi from Desjardins. Please go ahead.
Maher Yaghi: Thanks for taking my question. I want to go back to maybe just the question on the pace of the organic revenue growth. On the last call, George, you said that you expected a pause in the acceleration in revenue growth organically, but what in your view was the reason for the growth to come down from 4 to let's say, 1.5 in one quarter? It's a sizable change in the pace of growth. And I'm trying to figure out, how is it going to get back into the three, four type range that we saw in the last couple of quarters? And also, second question I had is, when you look at the metric that I look at in terms of book-to-bill which is the last 12 months book-to-bill, it's been declining since September, the core September 2018. And we're getting close to hitting the one point here. And management has always, also said that this is a metric that you guys are care more for because it's a barometer for the health of the business that is coming into the pipeline. So, what is being done to improve that? Or are we -- should we expect that number to turn into lower than one in the next couple of quarters?
George Schindler: Thanks for the questions, Maher. So, maybe I'll start with the second one first on the bookings. And what you've seen over the last several quarters. You've seen an uptick in SI&C and SI&C comes in and lower bookings level and then services. You've seen that. I highlighted that. If you looked at our revenue kind of follow that trend, our booking follows and trends. And SI&C anything over 100% is healthy. As you move to managed services, you drive a higher book-to-bill and a lot of other good qualities associated with that mix of business. We want a good mix of business. We are a little bit overweight on SI&C. We're moving more to our traditional managed services, which is where you'll see that pipeline come up. However, and the reason I talked about the pause and the acceleration of the growth is, they don't move as the exact perfect time. So the decision in SI&C is faster, decision making on managed services takes a little bit of a little more delivered, as I highlighted, and we're feeling that gap through a number of different tailwinds, right. So, that we're feeling that gap and now moving into the growth part of the question. You're feeling that gap, you see through the recent mergers picking up the pace. We're excited about the opportunities to spread the IP and the media, the space, even the government ERP and the retail distribution side, spread that through the broader CGI channel. So that will be a nice tailwind for both the inorganic growth that comes along with those, but also organic growth as IT gets spread across the Company. The spending bill approved in the U.S., government place in UK, that's a tailwind for growth because, in fact, government demand goes up in the climate that we're going into a lot more spending on domestic and social programs. And just to remind you and I'm sure you're aware of this, but one-third of our total revenue does come from that government. That kind of comes into a counter cyclical, government structurally move a little slower. And of course, when you don't have a government in place like we had in the UK, or don't have a spending bill in the U.S., that kind of impact that that had the biggest impact on our book-to-bill. So the book-to-bill even in the quarter would have been 100% without the downdraft after those two units alone. And we know why that happened in the short-term we're playing into the more selective managed services opportunities, which is why I highlighted that. That will help the fill the gap before they make some of the larger decisions. And -- but what you will see is inorganic growth outpaced organic growth in the near-term that will drive some organic growth in the future. So all-in-all, it's not unexpected. It's what I talked about last quarter, but we the bookings following the pipeline, particularly given the tailwinds that I mentioned. I think bookings and growth in the intermediate term return to where we want them to be. It is a different spending pattern. This is why I also tell our end-to-end services and then also why we talk about the portfolio that we have across our 10 industries because every industry doesn't buy at the same pace. So, that really gives us the confidence moving forward.
Maher Yaghi: Just to follow up in terms of the organic revenue growth tailwind that you talked about, how -- I know you're not into short-term guidance or even medium-term guidance, but how long should we see wait to see those tailwinds start to help the organic revenue growth? And my just follow up question on the buybacks. When you start to see the return on invested capital or return on equity come down and I know this is the first quarter that we see this happening, but it’s the first time we see it's happening since 2017. Does that change how you view your stock buyback strategy?
George Schindler: So, on your first question, you're correct. We don't give guidance. Maybe, François, you can talk a little bit about the impact IFRS-16 also.
François Boulanger: Yes. So for sure, the IFRS-16 had a small impact on the return on equity and the ROI. So even if it went down, the majority is related to that. That said, we still think that our -- at least when you're comparing with some of our competitors that it's still a very good value that share price of CGI. And like I indicated, we did some share buyback, a lot of share buyback last year, close to 34% to 35% of our NCIB and it was with return of close to 16% on the share price. So, we still think that this would separate index.
Operator: Thank you. Our following question is from Richard Tse from National Bank Financial. Please go ahead.
Richard Tse: Just want to sort of go further on the change in the metrics of some of these deals on the smaller side. Is that because your clients don’t necessarily understand the technology and use the way of mitigating the risk? Or is there some other reason behind that?
George Schindler: Yes, I think some of that is given all of the change clients are already going through. Many of our clients are doing M&A themselves in order to chase some fair growth that they need for their organizations, which obviously is the intermediate opportunity for us, but a different opportunities causes them to look internally and that was certainly open your remarks on. I think it's more of that they are going through a lot of change. One of the biggest insights that we received from our voices of the client, which I have outlined here is, one of the barriers, the biggest barrier of not receiving the benefits from digitization efforts, it's not the technology, it’s the people it’s the culture. And so, as you take kind of a look at that it causes them to be, as I mentioned, a little bit more deliberate specially given all the change. So, they actually get less overall savings to the clients, but they enable themselves to kind of maybe digest the change in a different way. That's the discussions that we're having and that's why I also highlighted, the discussion doesn't end there, right. The discussion still says, I want to do the bigger longer deal. I got to get my organization under control first. It still gives CGI increased utilization and drive higher margins, as we see the shift and you're seeing that. I mentioned it gives us deeper relationships and proof points beginning those future larger scopes, but they're not going wholesale over to that. I think that's maybe which pronounced in this slowing economy versus dropping off the edge, economy that we're in right now.
Richard Tse: Okay. And with respect to infrastructure is sort of reading through MD&A and I noticed a bunch of sort of run-off leaving comments about this earlier. No doubt that's probably a bit of a drag on the business as well. So when it comes to those run-offs, where do you think we are right now in terms of the one that will land near the end of that process?
George Schindler: Yes, it's an interesting one because it continues to evolve and it's still a very important part of our business. It is just an evolving part of our business. We're actually increasing the use of infrastructure as it relates to software-as-a-service for our own IP and our own IP private cloud, if you will. So, we're increasing actually investments as we move towards that. We're doing more and more infrastructure advisory, maybe getting back to your opening question about finance really taking a look at, where they do and don't want to use public cloud, private cloud. And what their posture is when it comes to cyber security and data privacy, particularly in Europe. So our infrastructure advisor is growing, but then of course, there's softness in the other parts of the infrastructure business. And so, as you kind of structurally have to address those changes, we're doing that on the fly, but you see somebody in past events. So that's what's going on the infrastructure. And I say that we're through this so we're through the first round, our in a second round as just begin. I'll probably be one more round. But just to remind you, I don't want to misspeak François, percentage of current businesses, its infrastructure today.
François Boulanger: Yes, but it's still you know in a 12%, 13% of revenue. But again, it's still down from 15% to 20%, it was that long build. I don't think it'll go below 10%. It's still in fourth part of her.
Richard Tse: Okay and just one last one for me. With respect to your comments on inorganic growth, should we read that the main outpace is because the pace of organic is slower? Or are you going to expect to pick up the pace of acquisition?
George Schindler: Probably, little both, we're picking up the pace of acquisitions for sure. So, that number should go up to fill some of the gap. But as we discussed on all the growth, it is just, we'll take a little bit more time to get that organic growth back as the shift plays its way through. There will still be organic growth, I believe, but it won't be certainly accelerating even from you.
Operator: Our following question is from a Robert Young from Canaccord Genuity.
Robert Young: Maybe, if I just pick up on the last line of question in there. There's any change that you see in the metro market strategy first. Would pick up on M&A imply targeting larger acquisitions? And then the second piece to that would be around the valuation landscape. If the consulting side of the business is a little bit weaker, are you seeing pressure that is driving lower valuations?
George Schindler: Yes, it's a good question. Thanks Robert. The metro market strategy is still what we believe we can pick the pace up on and bring some more of those into the business. Pipeline is up. As far as the pressure on the pricing, and I've really seen that and maybe part of that is because, we're very disciplined and what we're looking for you can see that to the last three had intellectual property. You're going to see more of that moving forward. So, when you're talking about IT, you don't necessarily see the pressure that I talked about on the systems integration consulting side. But overtime, we probably would see some of that, but we're going to be very disciplined even as we accelerate the pace. So, you won't see any lack of discipline there as we do that. But given the growing pipeline, and given the opportunities out there in general, we believe it's a good time to continue to consolidate. On the larger deals, it does not mean that the increase in the inorganic growth does not require any of the transformational deals. We continue to look at those opportunities however on the larger deals. The overall pressure probably does overtime create some price pressures and opportunities for us on those larger deals.
Robert Young: Okay, great. And then, maybe just talking a bit more about the pipeline, you said it was up 30%. Maybe you could talk about, is that a sudden jump here in the quarter? Or is that something you've seen over time? And if you can break that into cohorts, potentially you said that there were some longer deals 7 to 10 years smaller deals 5 to 7 and then there's the shorter term. Is there any way to break that sort of growth in the pipeline up into those cohorts?
George Schindler: Yes. So, the pipeline increase I'm talking about is really year-over-year and its pronounced most pronounced in those managed IT deals. So, that's really what I'm referencing there. The pipeline for the SI&C is relatively flat, but the IP and the managed services deals are up. By the nature of those deals given that there their longer deals tend to be larger deals, even those that aren't full scope are still $50 million to $100 million deals. So that's what drives that pipeline growth and of course, the full deals are in the hundreds of millions. That pipeline is most pronounced actually in government and retail rents.
Robert Young: And because it seems like there's a little bit of a change happening in the way your customers are looking at these deals it. Does that imply a booking gap as some of these longer deals probably stick to have longer sales cycle? And so maybe you could talk about what you expect some bookings over maybe the next year. Is there any way to talk about a potential gap?
George Schindler: Yes, I don't necessarily say gap. Like I told you and François actually pointed out, if you take UK and Federal out, we're at that 100% even in the quarter. And so, we still believe we can get the bookings and demand should be picking up with some of those big uncertainty is behind us in UK and U.S. Federal, which tends to be very lumpy anyway. So that's why I highlighted we're playing into the market and we're going after some of this let us go even as we present the full offering, which come with those very largest deals. So that's kind of what I see happening, I'm not necessarily seeing any big gap there.
Operator: Thank you. The following question is from Ramsey El-Assal from Barclays.
Ben Budish: Hey, guys, this is Ben Budish on for Ramsey. I wanted to circle back on M&A expectations for the year. And understanding you don't give guidance. On the last quarter, you sort of talked about the longer term trajectory has being like 5% to 6% organic and 5% to 6% inorganic. So, with that in mind would, we may be, would be reasonable to expect that, for this year, the revenue contribution from acquisitions might be above that range or at the high-end of the range? Or is that perhaps asking too much?
George Schindler: Well, yes. When I talked about the 5% to 6%, organic and inorganic, that certainly the target to have that balance growth, which is why we put out the aspiration to double in the 5 to 7 years. So, that's really where that comes from, that's the target. I think we would reach that target faster on the inorganic than the organic given everything else we just discussed here, but that remains the target of where we're heading towards.
Ben Budish: Okay. And then in the U.S. just given you've been through a number of presidential elections, can you just give us an idea of the timing of like, when you would expect revenues to kind of pick back up as once the spending decisions are made, and contracts are kind of signed or renegotiated? What can we expect to see in the second quarter is kind of the pacing of improvement there?
George Schindler: Yes, well, actually, revenues were extremely strong and U.S. Federal based on prior bookings and of course that will continue. What I was mentioning is, the bookings were impacted by not having been a federal budget. So, what we see typically is, there will be a lot of spending in the run up to the election and that's what I talked about. That spending is get things in place because when there's a presidential transition, there's different priorities and everything kind of installs until the new if there is a presidential transition. Then there is a -- until the new leadership gets to place. So, what you usually see is run up then a bit of a pause, and I'm talking about the bookings now. And then run up again as the new priorities get put in place. The run up that happens now and I'm talking about bookings will allow us to continue to have the revenue growth and stability straight through that positive period. That's what we see typically in the election cycle which when I highlighted.
Ben Budish: That's very helpful. And if I can see one more, can you give us some color, maybe just the expectations for the IFRS 16 impact on margin over the course of the year?
George Schindler: Mostly the same EBIT when we said $9.7 million for the quarter, so it's 0.3 on the EBIT margins. So, you can expect for the EBIT margin to continue like that, so $9.7 million to $10 million per quarter. As for the net earnings like I was saying it's marginal because again we have more interest expense. So, it's really in the geography of the P&L where it's changing.
Operator: Thank you. Our following question is from Paul Treiber from RBC Capital Markets.
Paul Treiber: I just want and hoping that you could elaborate on your comment about seeing more demand for global diversity centers. There is an article out a couple of weeks ago indicating that CGI plans at higher 15,000 people in India. Can you just comment in terms of that strategy? I think previous in the past you called it a near sure strategy. Are you seeing more demand for offshore and particular in terms of India as opposed to what you typically called in the past near shore?
George Schindler: So, it’s a great question and a lot of this goes back to the mix of business and the evolving mix of business. As the business evolves from more SI&C and I've been highlighting that, we been talking about it, number of you asked me may be even to view yourself, Paul asked me, when are you going to see the shift. And what does that mean, I said while not route for the shift because we're playing into this market. But when that shift happens it would be very good for us. So as this shift plays and of course happening as past as any less would like to see, but it is happening, as the shifts plays out, the managed services deals allow us to leverage to go with delivery centers in a different ways and in shorter-term SI&C projects allow us to leverage that. So leverage them but not on the same way that’s why they are in demand and of course hat's exacerbated by the fact that in most of the major metro markets. Obviously, there is still talent shortage for IT particularly for our clients in getting access to IT that’s where they to firms like CGI to have a broader footprint to be able to access that talent. So that’s what we're playing into. So a lot of this is inter related, we talk about the bookings, we talk about the revenue, we talk about certainly will get to this, when we talk about the margin because as we always talked about reasonably wanted to get back to that 30% SI&C and 70% managed services recurring as that comes that the optimal margin mix for us and we're now shifting towards that but just barely we're a little over 50% whereas a year ago, we were reversed and under 50% on the revenue. Does that help?
Paul Treiber: Yes, that’s very helpful. I mean just going over further so in order to clarify, you're not selling it on hourly rate, if it is managed services as you are delivering against a larger contract. And so, in terms of like your offshore resources, what you have seen in terms of profitability or in terms of performance, in terms of building projects and budget versus other regions?
George Schindler: Yes. Well, that’s why I highlighted our Asia-Pacific delivery centers. It really is combination of investments we made in talent, tooling and methodologies because of course we're moving to agile methodologies ourselves, with all of our own IP and the way we deliver these projects leveraging the tooling. So that all drives the higher margin and of course demand services here because we're not selling them on an hourly basis, drives up utilization which I highlighted. And you've seen that play out. You see it specifically in our Asia-Pacific delivery centers. But as I mentioned having that strength in Canada is the same way and the on shore delivery centers, same thing happens in the U.S and in other regions around the globe and everywhere and we will continue to play out as you drive more services, while I always say at optimal mix drives us a higher utilization and lower cost of sales which optimally comes with a higher margin. Better price point for our clients, savings for our clients but margin growth for us which is why that specific offering is resonated with our clients in the current quarter.
Paul Treiber: And then one last one for me. You mentioned earlier on the space market as a opportunity. Now, at the sciences acquisition is closed. Perhaps you can comment more directly on, what you see, like what your capabilities in the space market prior to that acquisition and what do you see as a long-term growth, opportunity and profitability in that segment?
George Schindler: So there's actually not as much I can say, about the current space work, other than to say it is size. So with places now we have approximately 1,000 people in the European space environment. We don't, we're not as big in North America. But most of that right now is for government and therefore it comes with its own confidentiality, and because if that's kind of worth. Having said that we think the opportunity is, as a lot of those technologies move over into more of the commercial world, which they are, particularly from a data perspective. Our expertise, not directly, but certainly indirectly, can be leveraged to expand and of course that U.S. government perspective is also investing this and of course, we're already leveraging government. But we do see that would be over into commercial and in a bigger way. And we're just talking about the long loss. We're talking in a more ubiquitous way.
Operator: Our following question is from Howard Leung from Veritas Investment Research.
Howard Leung: George, you gave some color earlier about how SI&C the growth of that price a little lower book-to-bill in the past few quarters with managed service contracts also getting shorter. Is that also a factor in lower book-to-bill?
George Schindler: Yes, that plays into why it's not accelerating as fast as we see the pipeline. So that you'll see that transition over from pipeline to the bookings may be a little bit slower, because of that. But you will see a transition over and then we'll see some of those larger deals overtime as we get the proof points as our clients get through the change that they're going through and we should see those accelerate in the future. So -- but again, in the specific quarter, the biggest downdraft really were the U.K. and U.S. better.
Howard Leung: Right. So, it's just lower orders from there specifically as opposed to long-term.
George Schindler: Yes.
Howard Leung: And I guess just one on for François, maybe just in general on IFRS 16. With this impacting EBIT and I guess EBIT margin, when you're evaluating your business segments and their performance. How would that factored into how you evaluate their performance?
George Schindler: For sure, we are taking that into account and the growth or the growth of the between the business units. So, we're restating what as we're looking at versus their budget like if they would have IFRS 16. And again, also they need to understand the impacts that when they're negotiating a new lease in the future.
Howard Leung: And then just maybe one more for François. I saw on the segment disclosure in the MD&A. There's now an elimination line in the geographic revenue by segment. Note, is that just mainly from the off-shoring like elimination?
François Boulanger: Yes, off-shoring and some of the activities at corporate -- some corporate report is done by the business units like you're saying like in India. So, that's what we're living.
Operator: Thank you. Our last question is from Deepak Kaushal - Stifel GMP. Please go ahead.
Deepak Kaushal: Hey, guys. Good morning. Thanks for squeezing me and I know its AGM day. So, I'll try to be brief. It's a quick follow-up to Rob's question earlier on the gap. When we're thinking about these larger managed service deals, are you expecting a steady state of closing these starting now? Or do they start kind of 6, 12, 24 months out from where we are today?
George Schindler: Yes, I think it's continuous. It's a phased approach. We've been having these discussions already for 12 months plus. And so, we're seeing those resonate more as the economy plays out the way we expected to. So, it's not like we're starting now. We've already been doing that. Actually, that's why I highlighted this quarter that given the change, going through there being even more deliberate. But we would expect to see those happening really continue moving forward.
Deepak Kaushal: And when you talked about kind of the half 3-to 5-year pieces starting, but waiting on a 6 to 10 year portion of that, what kind of gives you confidence that they'll follow on over the 6 to 10 year piece of that? Are they giving you visibility into the full scope of the 10 year project, but only contracting half of it? Are things changing so fast that you're still not sure what's going to happen? How's is that see in your probability of follow on?
George Schindler: Yes, it's a little of all the above, but we do get the visibility. We are discussing in many cases, we'll do actually a proof-of-concept on the full scope. And they'll be explicit of we're going to start with this smaller scope. So we've already done some of the legwork on that. And we're gaining the proof points. And of course, that's part of my confidence is if you look at our delivery track record, over the years you look at the client satisfaction scores and the royalty scores. Once we are in delivering for the client that gives us the confidence that the bigger scope will be there. And quite frankly, this started with some of the SI&C work, which I've been talking about. It built a relationship through the systems integration consulting, get the opportunity to have the bigger discussion. You lose some of that demand and services, overtime you move the larger scope.
Deepak Kaushal: Okay? Well, thanks again for taking my questions. I have a good AGM.
Lorne Gorber: Thanks Deepak and thank you to everyone for joining us. Hopefully, we'll see you at the AGM and we'll see you back here for next quarter, April 29. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.